Operator: Good morning, and welcome to The Bank of Nova Scotia's Q3 results presentation. My name is Meny Grauman, and I'm Head of IR here at The Bank of Nova Scotia. Presenting to you this morning are Scott Thomson, The Bank of Nova Scotia's President and Chief Executive Officer, Raj Viswanathan, our Chief Financial Officer, and Phil Thomas, our Chief Risk Officer. Following our comments, we will be glad to take your questions. Also present to take questions are the following The Bank of Nova Scotia executives: Aris Bogdaneris from Canadian Banking, Jacqui Allard from Global Wealth Management, Francisco Aristeguieta from International Banking, and Travis Machen from Global Banking and Markets.
Operator: Before we start and on behalf of those speaking today, I'll refer you to Slide two of our presentation, which contains The Bank of Nova Scotia's caution regarding forward-looking statements. With that, I will now turn the call over to Scott.
Scott Thomson: Thank you, Meny, and good morning, everyone. Our strong Q3 results highlight the steady progress we are making towards our Investor Day commitments. We continue to focus on what we can control as we drive profitable and sustainable growth. We are doing this through the disciplined execution of our strategy, which includes building deeper client relationships, driving efficiency gains while making the necessary investments for the future, and maintaining strong balance sheet metrics to deal with unexpected challenges. For Q3, we delivered adjusted earnings of $2.5 billion or $1.88 per share. This is up 15% year over year, while pre-tax pre-provision earnings were up 17% year over year. We also delivered a return on equity of 12.4%, up 110 basis points compared to the same quarter last year. After taking a conservative stance on credit last quarter that featured an 18 basis point performing provision driven by U.S. tariff uncertainty, our performing build this quarter is back down to four basis points. Meanwhile, our impaired PCL ratio came in at 51 basis points, down six basis points quarter over quarter. We are pleased with this outcome but remain committed to managing our business conservatively. Moving to our operating segments. This quarter, we reported improved results in Canadian Banking helped by better credit performance versus Q2, but also improved revenue growth boosted by two basis points of sequential margin expansion. In Canada, we are focused on building deeper and more profitable multi-product relationships with our clients, and I'm very pleased with the progress we are making. Importantly, retail savings and day-to-day deposits are up 6% year over year. Our Mortgage Plus solution continues to help drive multi-product banking relationships by providing preferred mortgage rates for customers with a day-to-day account and at least one other eligible product. Year to date, Mortgage Plus has accounted for approximately 90% of our new mortgage originations, including in the independent broker channel. Since the launch of this product, 95% of new clients have retained their day-to-day accounts after one year, and the average balance per client is 1.5 times our standard day-to-day acquisitions. Year to date, 30% of new Mortgage Plus clients opened a credit card with average credit card balances higher than our standard card acquisitions. We're also seeing strong portfolio retention rates of 90% plus. Our renewals typically happen in our branches and therefore do not incur additional commission-related costs. Our focus on primacy is also driving strong cooperation between Canadian Banking and Wealth with combined referrals between retail, commercial, and wealth at $11 billion year to date, which is up 13% versus the same period last year. In commercial, we have largely completed our balance sheet optimization. And in small business, we are acquiring clients at approximately 2 times the market rate, with around 50% of those new clients being primary by month three, and we continue to see above-market growth of our core deposits. Although the Canadian business performance is steadily improving, we do see the opportunity to continue to address expense efficiency with our ultimate objective of delivering positive operating leverage, while also making the required investments to drive the business mix shift we see as necessary to deliver our return on equity objectives. The modest quarter over quarter expense growth is a step in the right direction. Global Wealth Management continued its positive momentum with strength across all of its businesses. In the quarter, we had strong results in asset management, private banking, and international wealth management. Our net fund inflows across our retail and advisory businesses demonstrate that our strategy is working. Year to date, net sales in our collective wealth channel to $6.2 billion versus $5 billion in net redemptions in the same period last year, an $11.2 billion improvement in net sales. In Canadian Wealth Management, we are seeing strong momentum in our Private Bank with double-digit loan and deposit growth along with all-time high fee-based assets within Scotia MacLeod. In our Global Asset Management business, we remain focused on delivering investment advice through our branch network with year to date net sales trending positively at $1.7 billion. Notably, we have increased our percentage of retail clients who have a mutual fund product over the last eighteen months, making strong progress towards the best in class. And in our international wealth business, earnings are up 21% year over year with 18% asset growth in Mexico. We also demonstrated continued progress in our International Banking segment with results continuing to trend ahead of our Investor Day commitments. Performance continues to be driven by solid execution, including another quarter of strong expense discipline and improved profitability metrics, including a Q3 return on equity of 15%, up 180 basis points year over year. We are delivering on our regionalization strategy and laying the groundwork to segment our retail client base with the aim of improving customer experience, boosting revenue growth, and lowering the cost to serve. Finally, Global Banking and Markets delivered another great quarter as we once again reported strong trading revenues and advisory fees. In Canada, year to date, GBM is number two in league table ranking for debt capital markets. And in The United States, GBM continues to reach new highs in its investment-grade DCM market share. Overall, The U.S. contributed 42% of GBM earnings in Q3, and we continue to invest in our U.S. capabilities to drive future growth. We also launched a pilot of our modern U.S. cash management offering, a pivotal step in connecting our North American footprint and strengthening our ability to achieve primacy with our clients. Moving to a brief review of our strategic priorities. We remain committed to optimizing our capital and liquidity to drive increased shareholder returns. One key strategy for achieving this is focusing on value over volume and enhancing the velocity of our balance sheet. While loan growth is important and a key indicator of economic and client activity, it is not our sole focus. Over the past twenty-four months, we have diligently repositioned our balance sheet by cross-selling and rightsizing our lending relationships, which has helped drive improved client primacy. This approach has resulted in lower loan growth compared to historical levels but has significantly helped improve our return on equity, capital capacity, and liquidity, which in turn is driving share buybacks. We believe we've effectively repositioned a notable portion of our balance sheet and anticipate that key areas and new initiatives within the bank will reflect increased yet profitable loan growth next year. Let me give you a few key examples of our strategy results along with key insights into our new initiatives. In Canadian Commercial, loan growth is flat, but revenue has risen by 16% year to date, and pre-tax pre-provision earnings is up 25. We are gearing up for the next phase of growth focusing on mid-market and global transaction banking. In Canadian auto, where we are market leaders, we have scrutinized our lending relationships and client flows over the past two years aiming to expand our risk-adjusted margins. This has led to solid year over year margin expansion and an improvement in return on risk-weighted assets. In our Global Banking and Markets unit, loans have decreased by 14% year over year, yet pre-tax pre-provision earnings have increased by 29% and return on equity has increased by three ten basis points. This improvement is largely due to increased non-interest revenue, including 28% year to date growth in underwriting and advisory fees as well as very robust trading-related revenues, which are up 50% for the year to date. Our GBM business is meeting its fee growth objectives. And this quarter, we successfully launched our first mortgage capital markets funding transaction in The U.S. We have more investments to make in additional capabilities, but record high M&A fees in 2025 give us confidence we are heading in the right direction. In International Banking, we have enhanced profitability by optimizing our balance sheet and redeploying capital more effectively. Since Q4 2023, pretax pre-provision earnings increased by 22% contributing to a three sixty basis point improvement in return on equity. And in our International Global Banking and Markets business, loans are down almost $9 billion over that same timeframe, while earnings have risen by approximately $76 million or 32%. At the all bank level, our balance sheet optimization efforts have also led to better funding metrics. The loan to deposit ratio has improved to 104% in Q3 2025, down from 116% in Q4 2022. And the wholesale funding to total assets ratio has decreased by two eighty basis points to 18.8% from 21.6 in Q4 2022. Beyond balance sheet optimization, we also continue to focus on productivity initiatives to improve our effectiveness. At the all bank level, we delivered positive operating leverage for the sixth straight quarter. And while we remain focused on accelerating top line growth as we demonstrated this quarter, we are also very committed to managing the expense line carefully with an eye to doing things better, faster, safer, and at a lower cost. At the same time, we remain committed to investing in our businesses to deliver improved client experiences and capabilities to drive sustainable future growth. A key area of investment is AI, where we are focused on getting this technology directly into the hands of our frontline staff. This past quarter, we completed the rollout of our Ask AI internal chatbot to all of our Canadian bank retail branches and client experience centers. Developed using large language models, this platform is designed to assist frontline employees with a whole range of client inquiries. Additionally, our external AI chatbot handles over 125,000 inquiries monthly. Finally, we continue to focus on maintaining strong capital levels and a disciplined approach to capital allocation. We ended the quarter with a CET1 ratio of 13.3% after repurchasing 3.2 million shares under current NCIB. This highlights our confidence in the trajectory of our internal capital generation, which we are focused on continuing to improve. In closing, we expect to deliver strong earnings growth in 2025 that will position us well heading into 2026. We will provide a more detailed outlook on our fourth quarter call. We are on track to meet our medium-term financial objectives and are laser-focused on execution both at home and across our diversified international footprint. I will now turn it to Raj for a more detailed financial review of the quarter.
Raj Viswanathan: Thank you, Scott, and good morning, everyone. The adjustments are shown on Slide 51, and all my comments that follow will be on an adjusted basis. Starting on Slide six for a review of the third quarter results. The bank reported quarterly earnings of $2.5 billion and diluted earnings per share of $1.88. Return on equity was 12.4%, up 110 basis points year over year driven by strong revenue growth of 12% year over year. The net interest income grew 13% year over year due primarily to a higher net interest margin and loan growth, which included the impact of the BA conversion. The All Bank net interest margin expanded a strong 22 basis points year over year. Quarter over quarter, NIM also expanded five basis points driven by lower funding costs and higher business line margins. Non-interest income was $4 billion, up 10% year over year, primarily from higher wealth management revenues, trading income, and fee and commission revenues that were partly offset by lower banking revenues due to the BA conversion. The expenses grew 7% year over year driven by the growth in our market-facing businesses. Quarter over quarter expenses were up a modest 1%. As a result, pre-tax pre-provision profit grew a strong 17% year over year. The provision for credit losses was approximately $1 billion and the PCL ratio was 55 basis points, down 20 basis points quarter over quarter, primarily due to elevated performing provisions in Q2. The bank generated another quarter of positive operating leverage, in year to date positive operating leverage of 2.9%. The productivity ratio was 53.7%, an improvement of two thirty basis points compared to the prior year. The bank's effective tax rate increased to 25% from 18.6% last year from higher withholding taxes as we optimize capital deployed in foreign jurisdictions, lower income and lower tax jurisdictions, and the impact of implementation of the global minimum tax. Moving to Slide seven, which shows the evolution of the CET1 ratio and RWA during the quarter. The bank's CET1 capital ratio was 13.3%, an increase of 10 basis points quarter over quarter. Internal capital generation was a strong 13 basis points. Gains from higher fair values of OCI securities contributed four basis points that were partly offset by allocation of capital to share repurchases of five basis points. The total RWA was $463 billion, up $4 billion from the prior quarter. The increase was driven primarily by higher book size and book quality changes of $1.7 billion, higher market and operational risk of $1.4 billion, and foreign currency translation and other impacts of another $1.4 billion. The bank remains committed to maintaining strong capital and liquidity positions. Turning now to the business line results beginning on Slide eight. Canadian Banking reported earnings of $959 million, down 2% year over year. Pretax pre-provision profit was in line with last year as we continue to invest in the business, but up a strong 7% quarter over quarter, reflecting good revenue growth and strong expense discipline. Average loans were up 3% year over year as mortgages grew 5% and credit cards grew 1%. Year over year deposits grew 2% driven by an increase of 2% in personal deposits, primarily in checking and savings, and 1% in non-personal deposits, primarily in demand accounts. The net interest income grew 2% year over year from asset and deposit growth and the benefit of BA conversion. The net interest margin expanded by two basis points quarter over quarter mix with personal checking and savings deposits up $3 billion while term and other deposits declined by approximately $5 billion. Year over year net interest margin was down seven basis points, primarily due to the impact of the Bank of Canada's rate cuts on deposit margins. Non-interest income was in line with the prior year as higher mutual fund distribution fees and insurance income were offset by elevated private equity gains in the prior year and lower banking fees including the impact of the BA conversion. The PCL ratio was 40 basis points, up a modest one basis point year over year. Expenses increased 4% year over year, primarily due to technology costs related to new systems and infrastructure and increased project spending supporting strategic and regulatory initiatives. Quarter over quarter expenses increased a modest 1%. Year to date operating leverage was negative 2.2%. Turning now to Global Wealth Management on Slide nine. The earnings of $424 million were up 13% year over year as Canadian earnings were up 13% and International Wealth Management earnings were up 21%. Revenues were up 12% year over year from higher mutual fund fees, brokerage revenues, and investment management fees as a result of higher AUM and higher net interest income. The expenses were up 11% year over year from higher volume-related expenses, technology costs, and sales force expansion. Year to date operating leverage was positive 1.9%. The spot AUM increased 12% year over year to $407 billion and AUA grew 9% over the same period to over $750 billion driven by market appreciation and higher net sales. International Wealth Management generated earnings of $64 million driven by growth in Mexico, Peru, and Chile. Turning to Slide 10, Global Banking and Markets delivered earnings of $473 million, up 29% year over year. The revenue increased 21% year over year as capital markets revenues were up 54%. Quarter over quarter revenues were up 5% as noninterest income was up 8%, primarily from higher fixed income trading-related revenues that were partly offset by lower net interest income. The net interest income was up 15% year over year from higher lending margins and lower trading-related funding costs. The loan balances declined 14% year over year reflecting favorable debt markets and our efforts to optimize the balance sheet, which is largely complete. Non-interest income was up $220 million or 23% year over year due to higher trading-related revenues from fixed income and equities businesses and underwriting and advisory fees. The expenses were up 16% year over year, mainly due to higher personnel costs, including performance-based compensation, higher technology costs to support business growth, and the negative impact of foreign exchange. The operating leverage was a strong 5.9% year to date. Moving to Slide 11 for a review of International Banking. My comments that follow are on an adjusted and constant dollar basis. The segment delivered earnings of $675 million, up 7% year over year and up 1% quarter over quarter. For the year to date, earnings are up 1%. Revenue was up 3% year over year with both NII and noninterest income up 3% from improving margins and higher net banking fees and investment gains. The net interest margin expanded by 13 basis points year over year, mainly from lower funding costs due to Central Bank rate cuts. Deposits were flat year over year. Loans were down 3% year over year as business loans declined 8%, while retail loans grew 3%. The provision for credit losses was $562 million and stable at 139 basis points. The expenses were flat compared to the prior year and prior quarter despite operating in an inflationary environment from disciplined expense management. Operating leverage year to date was positive 1.8%. The effective tax rate increased to 23.6% from 19.5% in the prior quarter as Q2 benefited from favorable adjustments in Peru. The GBM business and International Banking generated earnings of $313 million, up 12% year over year driven by revenue growth in Business Banking and Capital Markets. Turning to Slide 12, The Other segment reported an adjusted net loss of $56 million, an improvement of $24 million compared to the prior quarter. Revenues were up $81 million higher than Q2 as a result of lower funding costs. I will now turn the call over to Phil to discuss risks.
Phil Thomas: Thank you, Raj, and good morning, everyone. Against the backdrop of continued trade uncertainty, all bank PCLs this quarter were approximately $1 billion or 55 basis points, down $357 million quarter over quarter. PCLs declined this quarter driven by performing provisions that were down $280 million to $66 million or four basis points, following elevated performing provisions taken in Q2 to address macroeconomic uncertainty. This quarter's performing PCL build was driven primarily by migration in our retail and non-retail portfolios and some portfolio growth. Meanwhile, impaired provisions were $975 million, down six basis points from last quarter to 51 basis points. This decline was driven by improved credit performance in Canadian retail and lower impairments in GBM offset by higher impaired provisions in commercial. Turning to the business lines. In Canadian Banking, PCLs were $456 million or 40 basis points, down 32 basis points quarter over quarter, with 27 basis points of this decrease coming from performing PCLs. The impaired PCL ratio was 39 basis points this quarter, five basis points quarter over quarter. In retail, PCLs were $320 million, down $293 million quarter over quarter. Performing retail PCLs were $5 million driven by some migration, partially offset by improvements in prime auto. Impaired retail PCLs of $315 million or 34 basis points were down 11 basis points quarter over quarter. This was driven by less migration to Stage three across products and lower net write-offs in prime auto as a result of our collection efforts and aging of the 2022 and 2023 vintages. Ninety-day plus mortgage delinquency held steady at 24 basis points for the third straight quarter as improvements among variable rate clients were offset by rising delinquencies in fixed rate clients as they faced higher payment obligations at renewal. We continue to monitor housing and condo market dynamics, particularly in Toronto and Vancouver, although no material impact to credit performance has been observed to date. In our Canadian commercial portfolio, provisions for credit losses totaled $136 million, a decrease of $56 million from Q2, driven by lower performing PCLs. Impaired commercial PCLs were up $37 million quarter over quarter driven by higher formations. Moving to International Banking. PCLs were up two basis points quarter over quarter, resulting in a total PCL ratio of 139 basis points, driven almost entirely by performing loans as impaired PCLs increased only $2 million quarter over quarter. Looking specifically at international retail, total PCLs were up $12 million quarter over quarter driven by an increase in performing PCLs. Performing retail PCLs increased $26 million quarter over quarter due to a modest growth in most geographies and some negative migration. Impaired PCLs fell $14 million quarter over quarter as lower net write-offs in Colombia and Peru were partially offset by increased impairments in Mexico where we continue to manage some pockets of weakness, particularly in mortgages. Our impaired PCL ratio has trended down five consecutive quarters as we continue to focus on client primacy, collections, and helped by the sale of Credit Scotia in Peru. International commercial PCLs were flat quarter over quarter at $93 million. Finally, in GBM, PCLs were $21 million lower quarter over quarter due to one impaired account in Q2. In closing, while we are encouraged by our credit performance this quarter, the operating environment remains challenging. In Canada, the lack of a trade deal with The U.S. and recent mixed macroeconomic results continue to add uncertainty to our near-term outlook. In International Banking, credit trends have improved. However, we remain focused on navigating the macroeconomic environment in Mexico. In our non-retail portfolios, impaired provisions have increased slightly as clients adjust to shifting trade dynamics. While we've observed isolated areas of weakness, these remain contained, and we have not seen signs of widespread portfolio deterioration. Year to date, we have built over $470 million in performing allowances and our total ACL ratio is now at 96 basis points, up one basis point from Q2. We will continue to be proactive in maintaining a strong balance sheet, which will allow us to manage through a range of credit scenarios while we execute on our strategic objectives. Looking ahead, while our impaired PCL ratio came in better than expected in Q3, we remain cautious as we close out the year. 
Meny Grauman: Thanks, Phil. Operator, we will now take the first question from the line.
Operator: Thank you. And the first question is from Ebrahim Poonawala, Bank of America. Please go ahead.
Ebrahim Poonawala: Good morning. I guess, maybe, Scott or Raj, I just wanted to spend some time on how you're thinking about capital and buybacks. So when we think about the CET1 at 13.3%, OSFI I think said last month, they feel good about 11.5% being the real reg minimum and adds a management buffer to it. I'm just wondering given where the stock trades today from a valuation perspective, the progress you made in getting towards that 14% ROE, like is there any sort of desire to be a little bit more aggressive on buybacks? And is a sub-thirteen percent CET1 an absolute no-no given where the peers are and no bank probably wants to be below 13%? Just would love to hear how you're thinking about it because in a very simplistic way as a shareholder, I think you would like management to lean in into buybacks and be a little more aggressive given where the stock is, but would love some color there.
Raj Viswanathan: Sure, Ebrahim. It's Raj. So I'll try to provide our thoughts in a sequential manner. To us, the capital ratio of 13.3%, like you pointed out, is very strong. It's based on deliberate efforts we have taken over the last two years to build up this capital ratio to where it is. And in previous calls, we have talked about how we have added over 200 basis points of capital over the last two years or so. So it's a great position to be in. And as I mentioned in my prepared remarks, we used about five basis points to buy back stock this quarter. You would expect us to continue to keep doing that, and we'll keep going, right? We have approval up to 20 million shares. We'll see how the stock trades. Valuation is one of the considerations we have. We think of capital deployment in this order. For us, growth is the number one priority for capital deployment. We have a lot of businesses which are now optimized and repositioned for growth, as Scott mentioned. We're going to start growing the books. So that to us is important. The second objective is, Phil talked a little bit about the credit situation. Credit migration does absorb capital. We want to be thoughtful about it. This quarter was small and I expect it to be small, but we always consider that as we think about what is the appropriate level of capital to run. And third is definitely buybacks. We introduced a buyback program about a quarter back. We've been active. We talked about the 3.2 million shares we have already bought back using five basis points. You will see us complete the buyback program as quickly as possible and depending on market conditions and so on, trade uncertainty and so on is always a consideration of the capital management. I think prudent capital management is one of the key competencies we have in this bank. And we are committed to maintaining strong balance sheet metrics, capital being at top of the priority over there. Buybacks, definitely part of the deployment options that we have. We have a lot of capacity to buy back. It's a little hard for me to comment, would we operate below 13? At this time, if I think about next quarter with all the programs we have going, including buybacks, this will be comfortably above 13%. I have no issues with that. As we talk about 2026 in the Q4 call, we'll probably give you a better understanding based on the growth rates and so on what would be the levels we'd be comfortable operating at. But having great buffers over 11.5% is a fantastic position to be in to grow from.
Ebrahim Poonawala: That's helpful. And I guess maybe just one follow-up. Maybe for you, Scott, I think you talked about the focus value over volume enhancing sort of the velocity of the balance sheet. I think a few years removed now from the Investor Day in your seat, when you look at the sort of the three big businesses, GBM, IB, Canadian P&C, where do you think the progress has been slowest according to you? And what does it take to sort of kind of bridge that gap? Is there additional need for leaning on tech investments, etcetera? But yes, give us a sense in terms of a scorecard of where there are things where you think things have not moved as fast and where we could see an improved pace of execution over the coming year? Thanks.
Scott Thomson: Yes. Thanks, Ebrahim. So I mean, if you look at the IB performance, it's significantly ahead of what we said at the Investor Day and a large part of that has been the optimization of the balance sheet and the cost control, the disciplined cost control. And you just look at the quarter and you see 1% expense increase in these markets. I mean that is it's just a great outcome. The trick now for Francisco, which he's talked about a lot is now pivoting to growth. And that's difficult, but achievable. And we're laying foundations for that through the retail side and also on the GBM side. We've taken to optimize a lot of that capital. So feel really good about where the IB business is heading over the next couple of years. On GBM, output this quarter is a result of a lot of work in that markets business over the last few years. And when you look at those numbers and see balance sheet coming down 14%, yet fee income going up significantly, we've got a lot of momentum in that business. Is every quarter going to be replicatable like this quarter? Maybe not. But I think we're building the foundations for sustainability here and a real growth in capital velocity and fee income. So feeling really good about that. The Canadian business, good sequential improvement and a lot of work going on in the Canadian business. We have a lot of work to do in the Canadian business as well. What I highlighted in my opening comments was that small business and commercial business mix move. And you don't see loan growth in commercial, but you see PTPP growth up 20%. And that's around the optimization of the balance sheet. That's around the cross sell. That's around the transaction banking. And that's the area we got to start seeing some growth into next year. And I'm confident by looking at the mid-market by focusing more on transaction banking, we will do that. And so that's the area that this whole team is really leaning into to start to see higher ROEs into 2026 and 2027. But if you look back to that Investor Day seven quarters ago, I think we're tracking at or above what we said we were going to do. And we're looking into 2026 with growth rates higher than what we told you seven quarters ago. So all in all, think feeling pretty good about strategy execution.
Ebrahim Poonawala: Got it. Thank you.
Operator: Thank you. The next question is from John Aiken, Jefferies. Please go ahead.
John Aiken: Good morning. Phil, in your commentary, you talked about the negative credit migration within commercial on the international side. Was there any particular region or particular sector that was causing that?
Phil Thomas: Yes. So I think generally as we look at international commercial, it's interesting because it's basically market dynamics within those particular markets. It's not necessarily related to trade uncertainty. And we're not seeing anything from trade impacting Peru or Chile. As we focus on Mexico, that's where we're starting to see some weaknesses on our portfolio and in the commercial business. And so positive on Chile, Peru, still sort of constructive on Mexico. Francisco and I are spending a lot of time there with our teams helping them navigate the uncertainty in market.
John Aiken: Thanks, Phil. If I can keep you on your toes and pivot to the domestic ninety-day past due. We saw strong sequential improvement on credit cards. How much of that seasonality and how much of that is actually more strengthened in terms of the Canadian household or am I just reading too much into this?
Phil Thomas: It's a wonderful question. If I look at the dynamics in the portfolio, it has to do with how we're focused on originations. We've been very thoughtful about how we're looking at growth in that portfolio. We've been very surgical around the type of originations that we're doing into this environment. And we've also spent a lot of time on collections. Aris, myself, our teams collectively as management group, we're spending time on the operational effectiveness of our collections area and you're starting to see that pay off there. I do think from a Canadian consumer health perspective, it's really mixed right now. You're seeing signs of stress particularly in younger clients. If you look at where we see some from a demographic perspective where we're seeing some pockets of weakness. It's really that eighteen to twenty-six-year-old population. Now having said that, we saw retail sales up 2.3 in Q2, which potentially leads to some growth for the remainder of the year. And for the first time since Liberation Day, we saw discretionary spend improving over spend on essentials in that portfolio of credit as we look at the credit card spend data. And so there's some green shoots coming, but we're still really cautiously optimistic about the outlook.
John Aiken: Thanks. I appreciate the color.
Operator: Thank you. Next question is from Matthew Lee, Canaccord Genuity. Please go ahead.
Matthew Lee: Hi, good morning. Maybe for the Canadian Banking business and that goal for positive operating leverage. When you think about that inflection point, when do you think we can reach positive operating leverage? And can you do so even if loan growth at industry level stays pretty muted?
Aris Bogdaneris: Aris here. Thank you for the question. So it's our long-term desire obviously to have positive operating leverage on a sustainable basis. And as part of our strategy that we laid out, our primacy strategy at Investor Day, we're investing in our business and we're investing to get not only revenue growth down the road, but also productivity. And we've been making substantial investments in technology and cloud in our payment platforms and also in our channels to engineer the transformation we want to be a more digital mobile-led bank. And then we're also working on the productivity side with investments to digitize and that will pay dividends going forward. So we're optimistic that over time as these investments payout, we're going to drive operating leverage positive on a sustainable basis. So that's the way we're positioning it.
Matthew Lee: Is that like a 2026 thing or kind of longer term when you think about that?
Aris Bogdaneris: I would say going into next year that's the aim as these investments start to generate the paybacks and the returns that we envisage.
Matthew Lee: Okay. And then maybe a follow-up for you, Aris. When we talk about multi-product customers, does SCENE fit into that? Does that program resonate with customers or are there maybe other avenues to might explore to better cater to mass affluent and above audiences?
Aris Bogdaneris: In terms of SCENE, as you know, 26% of our SCENE plus base today has a payment product and it's a valuable source going forward of obviously multi-product cross-buy with that base. We're working very hard to actually extract the data with our C plus partners to try and identify and target the right customer for the right product over time. So that should help product penetration and drive primacy. But we still have a bit of work to do in terms of getting that penetration up and we're optimistic over the coming periods as we invest in data and in technology that this will be a rich source of future primacy growth for the business.
Matthew Lee: Appreciate all you there.
Operator: Thank you. The next question is from Gabriel Dechaine, National Bank Financial. Please go ahead.
Gabriel Dechaine: First question is just for an updated outlook for the Corporate segment. We've obviously seen the beneficial impact of lower rates on the revenue line there. If we get the type of rate cuts that are being forecasted in Canada and The U.S. over the course of the next half year or so, does that go to zero? And then at some point, could we maybe see a profit? Just want to or from the Corporate segment, just want to know what the likelihood of that scenario is?
Raj Viswanathan: Sure, Gabe. It's Raj. The corporate segment, you saw meaningful improvement this quarter, right? So it's now to the mid-50s earnings loss in that segment. I think just to look one quarter forward and to be clear, we are not considering our economists or the house call is not for any more rate cuts this year, both in The U.S. and Canada. And you know we are more sensitive only to the Canadian situation. The U.S. is like borrowing and lending is on a variable basis. So it's not an impact for us. If assuming we had a rate cut or even without a rate cut, I think it will be somewhere in the low 40s next quarter as it improves on some of the line items over there, including taxes, which we paid this quarter on withholding taxes in that segment. So I think it's a little hard to predict the segment. There's lots of confidence that go into it, Gabe. But any rate cuts that happen, the benefit will show up in this segment. That much I can tell you. Could it go down to zero at some point? I think it's better to have conversation in November as they get a better understanding of how the rate situation and our forecast plays out across the segments, mortgage repricing, all that stuff. But the intention is to keep it stable and low compared to what we had in the last two years where it was volatile.
Scott Thomson: Remember what we're doing here is allocating out the appropriate cost to the business line so they can price effectively. And as we drive this client primacy, making sure you have the right price discovery, right conversations with your clients, etcetera. And that is why you're starting to see return metrics increase, and while we continue to optimize the balance sheet. So I think this is just taking hold, but you're not going to see big float swings in this other segment because the cost of goods sold or the funding rates or costs are going to be sticking with the business line and they're going to be relatively consistent. So that's the objective. It's very strategic and it's going to drive a great outcome for shareholders over time.
Gabriel Dechaine: Right. Okay. And then just in the Canadian business, both sides of the balance sheet trigger some questions here. And just a clarification, is the message that the debanking phase in the commercial business is at or near an end? And then sometime in next quarter or in 2026, we start having commercial loan growth again? And by extension, could that be one of the primary drivers of a rebound in PTPP growth for the segment? And then on the other side of the balance sheet, I just noticed a small, but notable Personal deposits were down sequentially. That had been doing nothing but increase over the last couple of years as you're trying to improve your loans to deposits ratio. Just wondering if there's a you've hit kind of like your target and maybe don't need to be as competitive on deposit pricing going forward. And that's another potential driver for next year in that segment.
Aris Bogdaneris: Hi, Gabe. So let me cover commercial first. So I think over the last eighteen months, we've been on the journey, as Scott referred to, to drive value versus volume. As we focus on balance sheet optimization around return enhancement, client primacy and actually getting referrals to wealth, bring the whole bank to the client. I think that journey is now coming to an end. And when we look at the pipeline in commercial going into the next year, we should be growing with the market in Commercial Banking. So I think that phase is coming. I think I have to again reiterate what Scott said. The PTPP in our commercial is up 25% year on year. Our margins are up 16 basis points year on year. So we've really been successful in driving more value and more velocity out of the balance sheet that we deploy. This is a big capital consumer. So it's been a really successful run, but now it's time to grow. And of course, the market will predicate a lot of the growth and we're starting to see the pipelines, as I mentioned, build. In terms of deposits, you mentioned about the deposit growth. I think it's important to separate term deposits, which are falling as a market phenomenon. But what's important is we've grown core deposits as day to day checking savings. In the last quarter, we've grown more in the last quarter than in the previous seven months of our business. So the efforts we're doing, as I mentioned in the last call, end to end across the value chain from our scorecards and our branches all the way to the products and the whole marketing mix. We're starting to see impact in that core deposit growth. Remember, we've added $50 billion in deposits since 2023 and the loan to deposit ratio is shut down by I think 10 basis points. The other important thing that has to be mentioned is along with the core deposit growth, AUM branch driven mutual fund growth is also very strong. We grew 7% sequentially, 11% year on year. And this is also a very important part of our business that we also highlighted during Investor Day, getting more mutual fund sales in our branch. And this to get the core deposits and the AUM growing at the same time and savings is a very big achievement for this business. And it's one quarter, but that's the strategy as we go forward.
Gabriel Dechaine: Okay. Thanks.
Operator: Thank you. Next question is from Doug Young, Desjardins Capital Markets. Please go ahead.
Doug Young: Hi, good morning. Phil, I guess the last comment you had in your prepared remarks was impaired PCLs are below guidance, but you're cautious. And if I go back to last quarter, I think you thought or you stated, I think the 2025 will be at or slightly above Q2 levels on an impaired basis. Think that was 57 basis points. So you came in 51 basis points. I know there's a lot going on here between impaired and performing and macro and trends. But can you maybe dig a little bit more into what you mean by cautious relative to in the fourth quarter? And if you kind of care to talk about next year, that would be great. I'm trying to just get a sense of how we should be thinking about the trend on impaired PCLs?
Phil Thomas: Yes. No, thanks Doug. I appreciate the question. We were really encouraged by how the impaired PCL showed up this quarter. But I think it's too early to tell if the trends are sustainable. There's obviously a lot going on in the Canadian economy, particularly. We still have trade uncertainty that's hitting us. Canadian consumers still showing some signs of stress, as I mentioned earlier. But maybe let me walk you through each one of the business lines and tell you how we're thinking about it. If I start with IB, impaired PCLs here were generally stable quarter over quarter. And I think we're doing a good job in collections, primacy and that's starting to really bear fruit on those portfolios. But it's a big global footprint and we're cautious about weakness in Mexico and some variability is possible there. If I turn to non-retail, impaired PCLs were down $14 million quarter over quarter. And we're not really seeing anything in these portfolios that gives us concern. But as you know, these can be a bit lumpy as different clients are sort of navigating some of the economic uncertainty particularly here in Canada. And that really brings me to Canadian Retail which is where you saw the biggest improvement in impaired this quarter. And I've talked a lot on in the past about the automotive portfolio, the prime automotive portfolio, specifically the originations that we did on used cars during the pandemic. And we're starting to see and this is a technical risk term, but we're starting to see the pig moving through the pipeline. We're almost halfway or maybe more through that pipeline now with this with those 2022 and 2023 vintages. So I think the worst is past us as we look at that auto book. And similarly, you look at unsecured lines of credit, we saw continued improvement this quarter. And if I look at where we are now versus where we were last quarter, some big improvements particularly on the retail side. If I look forward, I'm encouraged by the trends. However, I don't think the worst is necessarily past us. And I think we still need to be very thoughtful about the macroeconomic dynamic. We're still waiting for Canada U.S. Trade agreement. And so this uncertainty is still clouding some of the outlook. Hope that helps.
Doug Young: No, no, it is. And then Raj, just if I look on Slide seven, your internal capital generation 13 basis points. I'm more interested in through a cycle, what you think that should be. And obviously, ROE improvement kind of would help kind of benefit that metric. But when you think of a target or what you think is a reasonable through the cycle internal capital generation, what is that?
Raj Viswanathan: I think through 2026, perhaps even into 2027 perhaps, right? When I look at it, this bank should generate somewhere between 15 to 20 basis points of internal capital generation per quarter. And that's going to come through some of the growth that we talked about. It's going to come through as our markets facing businesses start performing even better, whether it's wealth or GBM. Both of them are hitting their stride at this time. And those are highly accretive to internal capital generation, as you know. So I think some of it in 15 to 20 basis points is the right number for this company. Looking forward to the immediate future and eventually our expectation is we want the number to continue to improve. It's all the basis of how do you get better returns for the capital. The capital velocity is a term you've heard from a number of my colleagues over here. But looking through into 2026, that's probably the right number. Appreciate the color. Thank you.
Operator: Thank you. The next question is from Paul Holden, CIBC. Please go ahead.
Paul Holden: Thank you. Good morning. I want to ask a question on the trading, called out fixed very good quarter for fixed income trading. We see that in the numbers, I think, '32, significantly higher than we've seen in any previous quarter. Maybe you can talk through that, like how much of it sustainable? How much of it might have been more specific to Q3?
Travis Machen: Sure. Hey, excuse me, this is Travis. I want to reiterate, we had an excellent quarter. We're obviously very proud of our results. We're super focused on our the velocity of our balance sheet as we mentioned and utilizing our capital efficiently. But you're absolutely right, we benefited from the volatile trading environment and robust equity markets. In addition, we also had a record year in investment banking. So all the pieces were really coming together well. We are focused on building a more durable franchise. We have lots of new initiatives in place, which should alleviate some of the volatility that you may see in the trading business and we'll continue to invest in the future. So I think said another way, it's probably difficult as Scott mentioned to replicate this quarter every quarter, but we're definitely building a durable franchise where we think this would be more than normal.
Paul Holden: Okay. And I want to go back to Phil for my second question. So gill formations are up 7% quarter over quarter, not a huge move, but still directionally going the opposite way of impaired PCL. Sometimes when investors see that, they're like, oh, great. Is that a sign that impaired PCL next quarter are going be higher? And we know that's not always the case. So maybe you could talk through in Scotia's specific circumstance why that hopefully is not true, but why or why not it might be an indication of future impaired PCLs? Thanks.
Phil Thomas: Thanks, Paul. I appreciate it. We definitely saw some higher formations in certain pockets of the business. If I look at Canada, I mentioned Canadian commercial earlier, you still have consumers that are customers, clients that are still moving through this the uncertainty with the trade environment. I think in international, I mentioned some of the activity in Mexico. And then in GBM, there's something there too, but sorry, the gills were lower rather in GBM. So more so an improvement in that business. And I think in this case though, Paul, if I look forward in terms of what I'm seeing in our forecasting, I don't think you're going to see the translation of these gills enter into higher PCLs. And so we're feeling confident that we're digesting these gills, we're working out through the situation and it's not going to translate into the higher loan losses next year.
Paul Holden: Okay. That's it for me. Thanks for the time.
Operator: Thank you. Next question is from Jill Shea from UBS. Please go ahead.
Jill Shea: Good morning. Thanks for taking the question. Perhaps just on the margin, the Canadian Banking margin was up a little bit this quarter and I think you had mentioned the deposit mix was a helper and Aris talked about the core deposit growth. Should we expect that deposit mix improvement to continue? And maybe bigger picture, how should we think about the Canadian NIM going forward?
Raj Viswanathan: Sure, Jill. It's Raj. Yes, I think the two basis points improvement quarter over quarter, mostly driven from deposit margin expansion. Aris talked about the business mix shift like you mentioned on savings and demand. This is going to be our area of focus completely like when we think about deposits, term deposits are always be part of the solution. It's about customer preferences and so on. But we really want to focus on primacy. We want to improve the deposit mix over there. We want to get more savings. And likewise, we want to have more demand deposits, be it in commercial or in the retail book. The expansion, I'll caveat it with only one item. It depends on if there are future rate cuts in the Bank of Canada's annual, right? Like I mentioned in my previous answer, we don't have any assumptions of rate cuts for the remainder of the fiscal year or even the calendar year for that matter in Canada. If rate cuts happen, it obviously impacts the deposit NIM in the Canadian business. It will benefit the bank as a whole, but the Canadian bank NIM could be impacted. But excluding that, because that's not our assumption, we think we should be continuously seeing sequential but small improvements in the Canadian bank NIM starting next quarter as well.
Jill Shea: Okay. Thank you. Very helpful. And then perhaps just turning to the International Banking segment as well and just same theme, the margin was a little bit better than we expected. I think it's trending better than that 4.45%, 4.5% range you guys had talked about. And the margin has been sort of drifting higher over the past year. Could you just talk about the puts and takes there and how we should think about the International Banking margin as well?
Raj Viswanathan: Sure. International Banking NIM, as you know, lots of countries, right? The Latin American countries are impacted by local rate changes. The Caribbean is dependent on The U.S. rate changes. So there's a lot of dynamics over there. Then there is inflation. So multiple factors impact that NIM. You're right, I think our sustained NIM expectations is 4.45% to 4.5%. This quarter, we picked up few more basis points because we just had opportunistic trades in Brazil because of the significant arbitrage between, say, offshore rates and onshore rates in Brazil. Couple of transactions, that's all that motive. But to put it in perspective, the four basis points improvement, the 4.5% to 4.54% in International Banking is about zero five basis point for the Bankers' Hold because of the proportionality. But International Banking is on the same path as the Canadian banking answer I gave you. They want to grow core deposits. That's our strategy, whether it's in retail or commercial. We'll continue to be thoughtful about it. We want to increase primacy over there. That NIM will be likely stable between 4.45% to 4.5% for the foreseeable future and should start improving afterwards as we track better core deposit growth in the business. And we have better primacy on the lending side where the lending margins could start improving, but that's likely a 2027 story.
Jill Shea: Okay. Thank you. Very helpful.
Operator: Thank you. Next question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi, thank you. Good morning. My questions are for Francisco. And maybe it's easiest to do this if you look at Slide 27 and Slide 28 of your presentation. And if what I'm getting, I'm getting the sense that maybe the client's deselection program is sort of nearing its end. And I'm trying to get a sense of magnitude. So for example, if I look at Slide 27, I see the balances down year over year. And let's say on a constant currency basis that's $5 billion. But there's two moving parts, right? There's the part where you've deselected and there's originations. And so for all I know, you've removed CHF 10 billion and you've had originations of CHF 5 billion. So that's what I'm trying to get at Francisco is how much of this has been client deselection. What's the underlying sort of origination rate? And as we get past the deselection, like should we be expecting significant growth once you're what sounds like you're done with deselection? I hope you understand that question and maybe you can give me a order of magnitude, please.
Francisco Aristeguieta: No. Thanks for the question and being thorough on this because this is very much at the core of the strategy and the changes that we're driving. The first element that I will draw you in is a little bit of the big picture. When we started at Investor Day, we were growing at 1%. We're now growing at 3% revenue and earnings at 6%. And when we committed the two-year transformation, we did not anticipate growth. This is in spite of client selection and a deliberate effort to improve our asset mix and reducing RWA below target. So we are way ahead in terms of that RWA optimization. That's not to say that the discipline is going to change. We will remain absolutely focused in maintaining that target of about 2% return on risk-weighted assets, and that's driving a lot of the decision-making across all businesses. So that's not going to change. Now in terms of client deselection, a significant effort went on primarily in commercial, where we moved really to focus on clients where we can drive GTB or transaction banking opportunities. And that process is well advanced and I would say pretty much done. On the retail bank, our effort has been really around the mass market, first understanding it to segmenting across all segments. And today, we're now, as we speak, rolling out the new value propositions, Mexico first, with the new image and branding campaign being launched next week. And all of that will just continue to drive the right acquisition with the right value proposition, multi-product getting us closer from inception to primacy. So in the exercise of this election, it's primarily mass market focus. And in that exercise, what we're doing is separating clients where we cannot penetrate further and therefore we're deselecting. But also when we see mass market, we see a lot of opportunity closer to top of mass, because mass market not only gives us scale to pay for all expenses, therefore a necessary evil to keep in our target market, but also it's a very strong feeder to the top of mass, where we see significant opportunity across all markets. So you're going to see us continuing probably to deselect some mass market, but also going forward, the acquisition pace in the mass market is slower. I'm acquiring 20% less in the mass market that I was historically acquiring. And I'm growing faster in retail than I ever was growing because I'm penetrating more in the core segments, affluent, emerging affluent and top of mass. And this is without the new value props fully rolled out. So as I look forward and the core to your question is when are we going to see growth? Well, number one, we are growing and we're growing much faster than we anticipated during the transformation. But more importantly, the concept we're introducing as we look at Plan 2026 and beyond is the pivot to growth. And that is now that we have the organization in place, we will have the new value propositions in place. We need to translate all of that into targeted deliberate growth in a segment basis as we go quarter in, out. So it will be a gradual transition where we want to see the right returns, the right path to primacy, the right acquisition trends by segment. So I would see 2026 as that pivot year. And you're going to see that pivot year in Commercial Banking and in Retail Banking, where both businesses are now regionalized, repositioned and consistently organized throughout the International Banking footprint. So it's a very exciting time because this is where we see all the effort pay off as we begin to look at growth probably sooner than we anticipated when we did the Investor Day presentation.
Darko Mihelic: Okay. Thank you for that. And just a follow-up on the commercial and corporate books. Proportionately a bigger decline in investment grade. Is that the way forward to think of really a bigger push on non-investment grade? Is that how we should think about that, Francisco?
Francisco Aristeguieta: Not at all. Not at all. No, this is just a simple exercise where we looked at share of wallet, where we looked at returns as we had balance sheet out there and understand how can we improve returns with those clients and with that asset deployment. And in many instances, the conclusion was that number one, we were over deployed. So we have narrowed down some of that capital out there. Number two, we've gone to clients trying to get more of the share of wallet beyond just lending. And number three, where we are now is that we are pretty much done in GBM and we're looking to grow. So one of the elements to keep in mind is that this growth cannot come at the expense of lower returns. And that is just not going to happen. Every dollar of lending needs to come with very powerful cash management penetration. And that's what we're operating at. So you're going to see higher returns around every dollar of capital deployed. Mexico is a key engine for growth around our GBM business. No secret, the economy is contracting 1.5% this year. So that is impacting our growth. Brazil has been deliberately bringing assets down because we had a high concentration on low returning, high quality assets. So we're going to see that reconverting to higher returning, more cross-sold penetration around wallet share. So our aim, as with I mentioned, Commercial and Retail in 2026 is a pivot to growth. But the engine for growth is wallet share, it's not just assets. We want to see those returns reflective of the underlying risk as we operate in emerging markets. So there's got to be a premium return for the risk we take. And that comes through deeper penetration of the wallet.
Scott Thomson: Francisco, does it make sense just to touch on GTV and all the work that's been done because it's global, so it impacts Travis' business and Aris' business and your IB, but maybe just for the audience a little bit on what we're doing on transactions?
Francisco Aristeguieta: Absolutely. And I think the key element here is, one, we have the team in place, and it's a world-class team, not only with the very strong talent we had at The Bank of Nova Scotia, where we complemented that strong talent with key hires from the market that has strengthened our product capability and knowledge, that has strengthened our sales knowledge from world-class players in this space and also brought alternative experiences to how to leapfrog competitors that have been in this business for much longer than what we have. So it's an exciting time. Our pipeline has grown five times over the last year as we focused in Canadian commercial GVM, U.S. GVM, very exciting time in The U.S. As October 1, we rolled out fully our cash management capabilities for the first time in The U.S. And as the North America corridor connectivity, that is a fundamental piece of the puzzle that we did not have that will contribute greatly to this aspiration of deeper penetration on wallet share. And internationally, it's a connected proposition. So when you look at how we come differently through these conversations is that we come connected, meaning we're going to service you in every country we're in and you're going to connect these countries through the treasury management portal. And that's something that we did not have. That is something that we have strongly rolled out and will be core to the way we come across our clients as a platform they should operate in the North America corridor and beyond. So we are very well set up for it. We are investing heavily in this business, but very targeted in terms of the capabilities we want. So this is not more of the same. This is a different proposition for our clients. And when you look at other Canadian banks or U.S. Banks, we are uniquely positioned to win here because we are a universal bank in these countries. Let's not forget, I have the opportunity to provide payroll services to multinational clients in all these countries at scale. And when you look at traditional cash management providers, that's not the case. So that's a big differentiating factor that when you add to that a powerful treasury management portal with strong capabilities across markets with a sales force that is coordinated across commercial and GBM across countries, I think it's a very exciting proposition and our clients are all for it.
Darko Mihelic: Okay. I think I've formed a view. Thank you very much for that. Those answers have been good. Thank you.
Operator: Operator, we have time for one last question.
Operator: Perfect. Thank you. So the last question will be from Sohrab Movahedi, BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Okay. Thank you. I appreciate you squeezing me in. Maybe just to bring it all together, I mean, we've heard from RSCs targeting positive operating leverage, Francisco has turned things around. Which one of these two segments is likely to outgrow the other segment when you think over the next six quarters?
Scott Thomson: Yes. Hey, Sohrab, it's Scott. I mean, I think one of the things we haven't talked about today is our wealth business and that connectivity between Canada and wealth and IB and wealth, which you actually see in the numbers, which we've been talking about a lot. But Jacqui, maybe just give Sohrab an overview of the progress we're making on wealth.
Jacqui Allard: Yes, sure. Like we really see wealth as being, I think, the glue to the client privacy strategy that we're trying to drive at the all bank level. And if I think about the progress that we've made since Investor Day, probably hit on four key areas. The first would be around what Aris talked about, our retail investment advice, must-win priority. Really happy with the progress here, $1.7 billion in acquisitions year to date compared to the same period last year with the $900 million in net redemption. So really good progress there. A lot more to come. Most importantly, though, improving our penetration, which is, again, driving promissory. The second area would be our Canadian Wealth Advisory businesses. That would be McLeod, PIK, Jared Ellinsky, Fraser Private Wealth as well as MB. These businesses are really firing on all cylinders. We're seeing really strong growth in net sales, about 85% up year over year. So really strong growth engines for wealth. The third would be private banking. We're seeing double-digit loan and deposit growth so far this year. We've also launched our signature banking initiative. We're probably on track to convert roughly 2x the number of households that we had targeted for this business by year-end. And then I'd have to end with International Wealth Management. We still have a tremendous opportunity there. We're thrilled by hitting our record earnings in IWM this quarter, but we also hit record earnings in our Mexican Wealth Management business. So lots more to come from Wealth Management.
Scott Thomson: That's great. And that connection that we're seeing between Canada and wealth is, I mean, through the referrals, the redemption has been fantastic. I think if your question was Canada and IB, we are pivoting to growth in IB for sure. I think that's going to take some time to see, but we're never going to see that back to 10% growth. We're going to be kind of in that, I don't know, Francisco 5% to 6% growth. But what we are going to see in Canada as we move to 2026 and 2027 is significant growth, significant growth in net income on the back of that operating leverage that we talked about, significant growth on the back of commercial optimization, small business movement and then having some traction on retail. So the Canadian bank, as I look to '26 and '27 is what I'm really excited about as this pivot from optimization to growth.
Sohrab Movahedi: I appreciate you squeezing me.
Operator: Thank you. This is all the time we have for questions. I would now like to turn the meeting over to Raj Viswanathan.
Raj Viswanathan: Thank you. On behalf of the entire management team, I want to thank everyone for participating in our call today. We look forward to speaking to you again at our Q4 call in December. Have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.